Reese McNeel: Hello, everyone, and welcome to this Q4 2025 results presentation for Prosafe. My name is Reese McNeel, and I am the CEO. I'd like to just highlight here to start off where we are. Prosafe, we are the largest operator in the accommodation market. I think we have a very strong high-end fleet of 5 units, a leading position in Brazil. I think there's very strong market fundamentals. And today, I want to spend a little bit more time on talking about the market that we're in. And we have a really strong focus, particularly the last quarters, on cost and improving our strategic position. Coming back a little bit to Q4. I was very happy with the Q4 results. I think Q4, if I look back to get to the EBITDA that we had in Q4, we have to go back to 2022. So I think it was one of the strongest quarters we've had in many years. It's also a quarter where we had all 5 of our rigs operating and all 5 of our rigs earning. I think again, we got to go back quite a while since we've seen that. And I think that's a reflection of how strong the market is. Also had a very strong operating performance with 100% fleet utilization. So basically, essentially no downtime. So really strong operations and also good safety performance. A little bit on the marketing side, very important, of course, as well. We did sign an LOI for the Caledonia for 2027, very happy about that. I think as part and parcel of that LOI, also, we will -- we have agreed to sort of an upfront payment structure. So I think that's also going to be beneficial for us. And of course, we're looking for additional work for the Caledonia to fill the gap, but very happy that we were able to secure something for the Caledonia. When we come to sort of CapEx and looking at CapEx going forward, we did move the SPSs, which we had originally planned in 2025. They have now been moved into 2026. And actually, we'll be starting those SPSs here very shortly in the coming weeks, and that is both for the Safe Zephyrus and the Safe Notos. I'll let Halvdan talk a little bit more about the financials when we come to that, and I will go through on the next few slides a little bit more in depth on how I see the market and maybe what our strategic focus is. Again, largest operator of the offshore accommodation, where are our units today, 3 in Brazil, 1 in Australia. And the Caledonia, which we just demobilized, she was off contract on the 22nd. We're very happy with that. We actually got all the options exercised, which we had on that contract. It was originally a 6-month contract with 3 months options. We got all the options exercised. We're very happy about that and really safe and well, she performed extremely well on this contract, but she has now been demobilized and will -- is laid up in Scapa Flow. Looking a little bit at the backlog picture. You'll see this last year, we did successfully extend the Safe Notos. She will go on to her new contract from the 1st of September. One thing that we're actually very happy about there is that we have been able to organize it such that during this SPS period, we will also do any contract modifications that need to be done. So we do not need to bring the rig in between the 2 contracts. That is something that we often see in Brazil is that you need to go in between contracts, but we will avoid that. We will do all this work now in this SPS period, and she will be on the newer day rate of close to $140,000 a day from 1st of September. Safe Boreas, also very pleased. We got to Australia, we got there on time. Client was not quite ready for us so we have actually agreed with the client that the fixed -- the 15-month firm period for Boreas will only start when she has the gangway down, and the gangway is not down yet although we're expecting that quite soon now. So in essence, we have gained a little bit more fixed term on that Boreas contract. Caledonia, as I mentioned, the LOI, let's see if we can fill the space. There are some opportunities out there, but I would categorize this as cautiously optimistic, just given kind of the time where we are already for 2026, a lot of clients have already locked in their work programs for summer of '26. A very key strategic focus for us in the coming months. And I think if -- those who are following us, you will know that I have said many times that I think H1 is going to be the time frame when I think we will know more about the Safe Zephyrus and the Safe Eurus. I'm still very much there. They're running off contract in April, May '27, and then in the fall of '27, Petrobras has been very clear that they wish to extend the units that are rolling off, not only ours but others, extend or recontract. So we are expecting to see some tender activity, but I'll come on to that. There's also opportunities with other providers in Brazil. And I think one of our key competitors also has demonstrated that by putting together a good work from other players in Brazil. A little bit more on the market. Again, I very much like where we are. We are not -- so we are very much a late cycle provider. We're very much focused on the brownfield and very much focused on maintenance to FPSOs. We do, do some hookup work. That's why it's here, 20%. A good example of that is Boreas. She's doing actually a hookup job. She's not doing a maintenance job. But the 3 in Brazil and Caledonia, they were all in this category, I would say, of operations, maintenance, tie-back, doing this type of life extension type work. And I think I'll touch a little bit on that, but I think with the increasing number of FPSOs and increasing number of on water assets, I think there's strong demand in that area. Some may be familiar with this slide. This is a bit how we look at the market and where rigs are positioned. The market hasn't grown in the last quarter from our perspective, it's still sitting at 31. There are a couple of these heavy lift units, which are on their way. They won work in Brazil so they're on their way so there might be some shift in where the assets are located. But generally, the market has been flat. And again, you see that South America, and that's largely Brazil is the main market for these assets. We continue to have a leading position with the largest player, one of the largest players in this market. And I continue to believe, a firm believer that this is a market which needs to -- which would significantly -- would need to and would significantly benefit from consolidation. All the players here, we're all sitting on $15 million, $20 million of SG&A alone. So I think there would be a strong benefit. So I think as the market improves, that's something that we've been quite vocal about that we continue to focus and see what kind of opportunities may be out there to play a role in that consolidation. Demand and supply, I think demand is actually at a 10-year high in this market. We got to go back to the last peak before we can see where the demand is. You see that on the graph here on the side there. When we look at the higher-end units, we're close to 90% utilization. So there's very little supply available. When I'm talking about high-end units, I'm talking about DP3 semi-submersible vessels. I think maybe some here in Norway will -- have heard the news that there's a proposal to walk to work on FPSO in Norway. That was rejected by the unions, but there is actually no available DP3 Norwegian compliant rig to actually do that work in '26. So the market is very tight. Also recent tender out in Brazil for this summer. And also if they want a high-end unit, there's actually no supply readily available. So I'm very positive about the market, and that is actually flowing through into higher and higher day rates. So our Safe Notos is on $75,000 a day. That was a contract obviously entered into 4 years ago. New contracts, $140,000. Latest done is actually $150,000, and we actually see in the North Sea, of course, for a shorter -- not a 4-year contract, a shorter contract, we see rates going above now the $200,000 level. So again, we got to go back quite a bit of time before we have seen those rate levels. And I listed out here also on the side of the slide a little bit because a lot of people ask me, they say, Reese, you're solely dependent on Petrobras in Brazil. I said, well, we are working a lot for Petrobras, but actually, there is quite a lot of other work now in Brazil as well. So I listed out some of the names, but I think PRIO has been using, Brava, I think you see some of these announcements from our competitors. SBM, MODEC, I think there's many of the players in Brazil, large FPSO operators who are now also using accommodation. And I think this trend is definitely going to continue. It's a trend which we have seen and actually recently even is picking up. West Africa, we also see quite a few opportunities, rigs going to Nigeria. We even see some opportunities in the Mediterranean. There's a working rig, working in Libya, there's one working in Israel. So I think the market has more depth than just Brazil. And I think there is also more demand out there than simply Petrobras. So I'm very optimistic on the market. I think we will continue to see day rates, solid day rates here going forward into the next couple of years. And just again to reiterate, that's a similar rate trend. It's not only Brazil where we see rates going up, but we see the same in the rest of the world. And if I look at even the latest done in the last quarter, we haven't seen any sign of this trend sort of lagging. In fact, it continues to be very strong. I'd like to talk a little bit about kind of the operations. I mentioned some of that already before, 100% utilization in Q4. I think that was great, great achievement to get all the rigs working again. If I roll back to when I joined, we had a couple of rigs still sitting idle. I think we've cleaned up the fleet. We've sold some of the assets. We've got all the rigs back working. So I think really good achievement from everybody. And if I look into Q1, I think the biggest impact that you see there on the bar chart -- on the line chart here, the biggest impact here is, obviously, we are taking rigs to SPS. We got 2 rigs that have a bit of time out, and the Caledonia is obviously rolling off. So we will see a little bit lower utilization with the Caledonia coming off and also with the rigs working -- with the rigs out on SPS. Yes, on the SPS, yes, 40 days for Zephyrus, 50 days for Notos, doing a little bit more work than simply an SPS. Some people ask me, "Do you need that much time to do only the special survey?" Well, actually, we are using this opportunity as well to do modifications that are required for the new contract, but also to do some exchange and overhaul some thrusters. The rigs are approaching the 10-year mark. So there is a need actually to do a little bit more maintenance, and this is the ideal opportunity. Backlog, probably no surprise when you see the high utilization backlog also at close to a 10-year high. And I think, again, the Caledonia LOI, very happy with that. And I think our focus really in the coming quarter, as I mentioned, is very much on Eurus and Zephyrus extensions. That's really the key going forward here and to successfully execute, of course, these SPSs. So with that, I'll hand over to Halvdan, who will talk you through a few of the financials.
Halvdan Kielland: Okay. Thank you. Great to be here. As Reese mentioned, EBITDA in the quarter has been fantastic, one of the best we've had in a while, almost tripled year-over-year. You'll see a significant increase in charter income. This is mostly due to the fantastic utilization we've had and the Boreas on full rate from 15th of December. Other income of $20 million, this is largely cost reimbursements that's coming from -- out of the Boreas contract in Australia, and we expect kind of a limited EBITDA margin contribution from that going forward. No real surprises on the income statement, significant step-up in net profit in the quarter, $5.3 million, kind of the important part here, interest expense, this reflects the full interest expense, including the PIK interest. So you'll see that on the next slide, the actual cash interest is slightly lower. The full year 2025 includes a significant portion of the recapitalization gain. Other than that, again, just a fantastic quarter on the income side. Now moving on to the most important part, the cash flow. CapEx of $9 million. This is mostly related to the tail end of the Boreas contract and the start-up of the Safe Zephyrus SPS. The large shift in working capital here is very natural with the beginning of the Safe Boreas contract, and we do expect kind of looking forward into 2026. Of course, we see that there's a large negative shift here, but we expect a lot of this to be recouped during 2026, and will have a significantly positive impact for the year. Cash position of $65.3 million. I think the important thing is here that we feel very comfortable that we are well covered on our liquidity to go into these 2 SPSs and for all our projects going forward. Strengthened balance sheet. Of course, we do see that we are in the best position that we have been for a while. As I said, liquidity that we feel very comfortable with going forward. Significant reduction even just quarter-over-quarter in net debt to EBITDA. Of course, this is largely due to the step-up in EBITDA. We would also like to see both sides of the fraction decrease on this. And yes, much better equity ratio. In terms of capital structure, no real changes. The only thing is we've repaid a small portion of the Eurus seller's credit, and we've added on the PIK interest for the senior secured facility. And we currently are paying that as PIK interest and we'll continue to do so as long as we feel the need to. Worth mentioning here, currently, the way this is structured, the whole debt stack is due in August 2028 at the same time as the Eurus facility. There is an option to push this out if the Eurus facility can get extended. The main tranche of $233 million can be pushed out until latest 31st of December 2029. Now we talked a little bit about where we are and where we've come from, going into where we'd like to go, $40 million of EBITDA in the year. Of course, as those of you who follow the company will know, we are still working on some legacy rates, specifically for the Eurus and the Notos. We see that the step-up on these, the Notos will go -- have that step-up expected around September onwards. But of course, for the Eurus and even the Zephyrus, this will be a massive increase. So we see that the potential on these new contracts should be able to bring us to around $90 million to $100 million of EBITDA, which on our current debt stack would bring us from around 6 to closer to 2. And of course, this is just on the increase in EBITDA. Of course, as a company, we'd like to get to the point where we can start to deleverage our balance sheet as well and bring both sides down. Talking a little bit about asset values. I think you can pretty comfortably say that if we start a replacement cost, there's not going to be any -- I mean I can't say for certainty, but looking at the value and looking at the cost, there's not going to be any new builds of these kind of vessels anytime soon. The market, we're very comfortable in saying that the market would have to have a substantial rate increase for people to even start considering it. In terms of broker valuations, we feel that is significantly above where the market is today. So we do feel that in terms of asset valuation, we do have some room to grow. Now to give you a little bit about our thoughts for the future, here is Reese.
Reese McNeel: Thank you, Halvdan. I'll wrap it up here a little bit, and then I think there's also some questions that I have received. So I think a little bit on the outlook and the guidance. We gave guidance last year, $35 million to $40 million of EBITDA. We ended up in the higher range of that guidance, again, driven largely by the fact that we had all the units working and working well. Looking into 2026, we've given quite a large guidance range, $45 million to $55 million on the EBITDA. We do expect obviously an improvement of earnings. We'll have Boreas on contract throughout the full year, and we will also have the Notos rolling on to a new contract. So we do expect a little bit of an uptick in that. And as Halvdan said, we expect a pretty strong improvement in working capital. We had, obviously, the ramp-up of Boreas in the fall, and we had some of the SPS costs, which we took also in the fall, which had a negative working capital impact, but we're going to see a positive working capital impact throughout 2026. So all in all, I think we'll see an improvement in 2026. And the real key focus for me looking ahead is very much on to the new contracts and what we can secure with Eurus and Zephyrus. So with that, I'll end the formal part of the presentation.
Reese McNeel: I do have a few questions, which I have received. So I will read them out here to the audience and then answer some of them to the best that I can. One of the questions was a question regarding Nova and Vega. I think we've talked about Nova and Vega several times. These are 2 rigs, which were actually built in 2015, 2016 by Axis Offshore and acquired by Prosafe. They're actually the last 2 remaining semi-submersible accommodation -- accommodation rigs, if you will, or specifically built for accommodation. I had the luxury of actually going on board a few weeks ago. They do actually look very nice. The takeout delivery price plus the cost to -- obviously, they've been sitting there for 10 years, so you need to spend some money to take care of obsolescence. And then you would also need to mobilize them to a location, most likely would be Brazil or West Africa. So our sort of take is if you added up that delivery price plus all that, you're probably in the range of $230 million to $250 million for each rig. It's probably not a lot of science behind if you look at sort of our EV per rig, we're probably more like 80-ish to 90-ish, depending a bit on which rig you're talking about. Broker values is around $100 million, $130 million, $150 million. So clearly, the sort of takeout delivery price or the all-in price for these rigs is quite high relative to where things are trading. We have had a consistent dialogue with the yard, and we continue to have that to see if we can find an amicable solution to get us into a position to take delivery of these rigs. We've continued to market them. So we have bid them in all the last tenders. But I think the key to sort of unlocking this is, of course, to see a continued improvement in the market, but we probably also need to -- we need to come to some kind of a structure with the yard, which we haven't to date. So hopefully, that gives a little bit of color on Nova and Vega. Back to a couple of other questions here. Yes. Another question was, give a little bit more color on Safe Caledonia and our plans. The way that I see Safe Caledonia is very much sort of, if we have worked for her, that's great. We keep her in the fleet. She's actually a pretty old vessel. She's 40 years old. So she's -- I like to make a joke that she's older than probably many of the guys in our office. But she was -- she had a significant renewal program in 2012, well over $100 million was put into her then. So she's actually a very nice rig. I've had the fortune to be on board a few times. And I think what we saw now with her performance for Ithaca was really strong. She had really good connectivity even through a large part of the winter. And I think the client was extremely happy with the unit and her performance. So on the back of that, we won a new contract in '27. And as I mentioned, Ithaca is actually funding or prefunding, subject to us signing the final contract, which we expect now in Q1. They will actually be funding a lot of that upfront. So in essence, we are not putting in a lot of our capital to keep her there and to keep her well ready for 2027. So for me, that's a perfect situation. We're not having to necessarily put out money. We've got a good contract for her, and we actually see now in '26 that she was one of our better earners. So I'm actually a bit more optimistic on Caledonia than I was if I roll myself back a couple of years. And I also see that in the U.K. market, there is work actually coming up. So I'm relatively optimistic, but we are very much taking this year by year. We got a job for '27. We basically got it funded through to '26, and we'll take a view. We'll try to find her some work in '28 or '29, but she's obviously not an asset that we are going to take a ton of risk on, if you want to put it like that. But I think there's a good market at the moment. I think we can actually keep her quite busy. The final question I saw popping in was with regards to my belief in FPSOs and the need for these units to supply FPSOs, the continuing need and how -- and a bit more color on that. And I guess, again, I've had the luxury and the opportunity to actually be offshore in Brazil on several of our units and the opportunity to actually see some of the FPSOs we're working against. And I think the corrosion level in Brazil, if you talk to some of our clients, they talk about 4 to 5x the corrosion level that you would see in the North Sea. These units need a lot of maintenance, whether it's Petrobras units or MODEC units or SBM units or any of them. There's a big maintenance need. And I think we have also seen actually ANP, the regulator in Brazil also shutting down some units. If we look at Peregrino, it was actually shut in by the regulator with a need for maintenance. So what we're hearing from our clients is they need the maintenance. And also what we are seeing is, again, as I mentioned, with Brava using PRIO using Petro Rio, I think there's a number of MODEC, there's a number of clients in Brazil. So I think there's clearly not only sort of the sort of theoretical that they need -- they're getting older, they're high corrosion, but actually, we actually see clients using. And I think interestingly enough, we see a bit the same in Norway. If you look where the accommodation units are working, they're largely working now this against FPSOs rather than, again, new installations. And I don't see this FPSO trend declining. There's many FPSOs on order into Brazil, but also Guyana. And I guess if we're looking even further down the line, then we're talking Namibia. But I'm very optimistic about sort of the underlying demand driver for our units. I'll just take one last check. I think that was it from questions, unless there's any questions from the audience here. Go ahead, Lucas.
Unknown Analyst: So what kind of OpEx number for Caledonia did you bake in, in your guidance number?
Reese McNeel: Yes. So Caledonia has about $35,000 OpEx when she's working and she has about $20,000 when she's going to be laid up. And of course, we also have some costs associated with laying her up. So we will have a few million dollars of cost just to get her, of course, get her property laid up.
Unknown Analyst: And your CapEx expectations beyond '26. I mean you are doing 2 major SPSs in '26. So '27, '28, what's kind of the run rate that you are looking at?
Reese McNeel: Yes. No, that's a very good question. I think what we're seeing is SPS costs tend to be in the sort of $20 million to $30 million range. So we're doing this. We've done quite a few of the SPSs. So if we can -- we're going to have another 5 years on Notos, another 5 years on Zephyrus. Eurus is coming up, I think, end of '28, '29. So I think -- but those are kind of $20 million to $30 million chunks per rig, but they are all kind of now in the 2031, 2029 time frame. And I think one of the key questions here, of course, is always when you're getting on to new contracts, is there going to be a requirement for contract-specific modifications or CapEx. So a good example is now, when we transition Notos onto her new contract with Petrobras, there is some CapEx, which is required according to the contract. In exchange, we did get a mob fee from Petrobras. So you match them off. But I think what exactly the CapEx will be in the coming '27, '28, leaving aside SPS, I think that's a little bit dependent on which contracts and the contract structure that we enter into. But generally, we're looking at $2 million to $4 million a rig outside of SPSs.
Unknown Analyst: Okay. And the kind of reimbursables that you incurred in the Q4, is it going to continue in '26, given the structure of the contract?
Reese McNeel: Yes. I think the reimbursables will continue to be quite high, but Q4 was particularly high because the heavy lift vessel itself, the entire chartering of the heavy lift vessel from Norway to Brazil was a reimbursable. And that was a double-digit million figure. So we won't see the same level of reimbursables. But we'll continue to see some reimbursables. But the market is -- the markup is sub-5%. Okay, with that, thank you very much, everyone, for coming and for listening in. Thank you.